Operator: Good morning, ladies and gentlemen. Welcome to the CIBC Quarterly Results Conference Call. Please be advised that the meeting is being recorded. [Operator Instructions] I will now like to turn the meeting over to Mr. Geoff Weiss. Please go ahead, Mr. Weiss.
Geoffrey Weiss: Good morning, and thank you for joining us. This morning, CIBC senior executives will review CIBC's Q4 and fiscal 2013 results that were released earlier today. The documents referenced on this call, including CIBC's Q4 news release, investor presentation and financial supplement, as well as CIBC's 2013 financial statements and MD&A can all be found on our website at www.cibc.com. In addition, an archive of this audio webcast will be available on our website later today, along with CIBC's full 2013 annual report, which was released earlier this morning with our results. This morning's agenda will include opening remarks from Gerry McCaughey, CIBC's President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer, will follow with the financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will close the formal remarks with a risk management update. After the presentations, there will be a question-and-answer period that will conclude by 8:30 a.m. Also with us for the question-and-answer period are CIBC's business leaders, including Victor Dodig, Richard Nesbitt and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Gerry.
Gerald T. McCaughey: Thank you, Geoff, and good morning, everyone. May I begin by reminding you that my comments may contain forward-looking statements. In 2013, we achieved strong fiscal year earnings and generated good returns for our shareholders. This morning, CIBC reported 2013 net income of $3.4 billion and earnings per share of $8.23. On an adjusted basis, net income was $3.6 billion, up 7% over 2012; and earnings per share was $8.78, an increase of 9% over 2012, which is in line with our 5% to 10% medium-term target. CIBC's adjusted return on equity was 22.3%. Throughout our year, we advanced our focus on our clients by providing greater choice and convenience. Our capital base remains strong while we continue to invest in strategic growth and return capital to our shareholders. At the end of fiscal 2013, our Basel III common equity Tier 1 ratio was 9.4%. During the year, CIBC increased common dividends to shareholders and renewed a normal course issuer bid to repurchase approximately 2% of shares outstanding. In fiscal 2013, CIBC returned approximately 60% of capital generated by earnings to shareholders while maintaining capital ratios that are among the highest in the industry. Now turning to our business results. In 2013, Retail and Business Banking reported adjusted net income of $2.5 billion compared to $2.3 billion in the prior year. Retail and Business Banking continued to make strategic investment in areas that are enhancing the relationships we have and providing greater choice and convenience. We launched the enhanced CIBC Aventura Travel Rewards program. CIBC also retained the Aerogold Visa credit card accounts held by clients with broader banking relationships with CIBC under the terms of a tri-party agreement with Aimia and TD. Earlier today, we announced a multi-year partnership which establishes CIBC as the GTAA's exclusive financial services provider in Toronto -- at Toronto Pearson International Airport. We also focused our priorities on enhancing our sales and service capabilities to make it easier for our employees to support our clients and to acquire and retain clients. We launched the CIBC Banking Bundle offer to make it easier for our clients to bank with us and reward them for doing so. We were the first bank to invest in mobile innovation and currently have more than 1 million active clients who are now using our award-winning mobile banking app to perform many of their everyday banking transactions. Just last week, we launched our latest innovation eDeposit, which allows our personal and small business clients to deposit their checks by simply taking a photo of their check on their mobile device, as well as the ongoing conversion of our FirstLine clients into CIBC-branded mortgages continues to exceed targets and supports our focus on client retention by introducing these clients to the benefits of a broader banking relationship with CIBC. Over the next 12 months, we will continue to invest in our front line sales and service capabilities to create deeper, more profitable relationships with our clients and leverage our multi-channel strategy. David Williamson is here this morning to answer questions about Retail and Business Banking. Turning to Wealth Management. 2013 adjusted earnings were $392 million, up 29% from the prior year. Results were driven by our strong retail brokerage franchise and record net sales and long-term mutual funds. During the year, we were successful in attracting and deepening our client relationships with new product offerings. For example, CIBC's Investor's Edge was the first major Canadian bank-owned online brokerage to offer no-fee self-directed RESPs. Looking forward, our goal is to build Wealth Management's contribution to banks from the current 11% to more than 15%. We expect to accomplish this through organic growth initiatives, as well as acquisitions. Our Q2 2013 acquisition of Atlantic Trust, a U.S. private wealth management firm, is on track to close in early fiscal '14. This will advance our North American growth strategy by establishing a footprint in the U.S. private wealth management market. Given the size and attractive characteristics of the U.S. wealth management markets, we will continue to look for acquisition opportunities as this market consolidates in the areas of asset management, private wealth and private banking. Victor Dodig is here this morning to answer questions about Wealth Management. In Wholesale Banking, 2013 adjusted earnings of $834 million were up 23% compared to the prior year. Throughout the year, we executed on our client-focused strategy in key industries, including energy, global mining and infrastructure and North American commercial real estate. We continued to add value to our clients by helping them grow globally through expanded lending and advisory capabilities, as well as an expanded suite of capital markets products, particularly in the areas of foreign exchange, fixed income and commodities in key regions. During the year, we were ranked #1 in Canadian equity trading based on volume and value and number of trades according to the TSX and ATS market share report. And we also ranked #1 by volume and by deal count in Canadian dollar denominated debt for governments in Canada according to Thomson Reuters True Economics. In loan syndication, we were ranked #1 by number of deals and #2 by value of deals led in 2013. Looking forward, we believe that our strategy of providing full service wholesale banking for our clients wherever they do business will provide us with quality, consistent returns over the long term. In the Caribbean, where CIBC offers market-leading financial services in 17 countries, with over USD 11 billion in assets, our goal is to return to historic profitability through leveraging and mirroring CIBC's strength, cross-selling to deepen client relationships and optimizing our business model and mix. Richard Nesbitt is here this morning to answer questions about Wholesale Banking and our Caribbean operations. In summary, our strong performance in 2013 reflects the successful execution of our client-focused strategy. Our outlook for 2014 is one of cautious optimism. The forecast for an improving economic and business environment is encouraging, somewhat offsetting a moderating -- an expected moderation in consumer lending volumes, as well as a cooling of the Canadian housing market. Before I return -- before I turn the meeting over to Kevin Glass to review our Q4 2013 results, on behalf of the senior executive team and our board, I would like to take this opportunity to thank our shareholders for their continued support and to thank all of CIBC's 43,000 employees for their ongoing dedication to serving our 11 million clients. With that, now let me turn the call over to Kevin.
Kevin A. Glass: Thanks, Gerry. My presentation will refer to the slides that are posted on our website, starting with Slide 7, which is a summary of results for the quarter. So we're very pleased with our strong fourth quarter results and the solid contribution from all of our business lines. Adjusted net income for the quarter was $905 million, which resulted in adjusted earnings per share of $2.22. Our Retail and Business Banking franchise delivered another strong quarter with good volume growth in core product and improving margins. Our Wealth Management business had record revenue and net income this quarter. And in a particularly challenging quarter, we continued to successfully execute on our client-focused strategy in Wholesale Banking, generating strong earnings. During the quarter, we had the following items of note. We booked a restructuring charge of $0.09 per share in our CIBC FirstCaribbean business, where we have taken steps to reorganize the business in the face of continuing challenging economic conditions in order to operate more efficiently and better serve our customers. As indicated previously, we had expenses of $0.05 per share during the quarter relating to the proposed credit card transactions with Aimia and TD, including the development and marketing of our enhanced proprietary travel rewards program. In our exited leveraged finance portfolio, we booked an impairment of an equity position related to a legacy loan of $0.05 per share. This was largely offset by a gain from the structured credit run-off business of $0.03 per share, and as with other quarters, the amortization of intangible assets amounted to $0.01 per share. In aggregate, the impact of these items on our earnings netted to a loss of $0.17 per share. Subsequent to the quarter end, CIBC sold an equity investment that was previously acquired through a loan restructuring in our exited European leveraged finance business. This will result in an after-tax gain of approximately $0.13 per share in the first quarter of 2014. The balance of my presentation will be focused on adjusted results, which exclude these items of note. We have included slides with reported results in the Appendix to this presentation. Moving to the details for each of our strategic business units, I'll start with the results for Retail and Business Banking on Slide 8. Revenue in the quarter was $2.1 billion, up $68 million or 3% from the same quarter last year. We had solid gains in our core business lines, partially offset by lower revenue in the other segment. Looking at our individual lines of business. First, revenue in the personal banking segment was $1.7 billion, up $79 million or 5% compared with the same quarter last year. This represented the seventh consecutive quarter where the rate of revenue growth has accelerated. Performance benefited from strong volume growth across CIBC-branded products, which were up 9%, as well as wider spreads and higher fees. Average CIBC mortgage balances grew 15% year-over-year. Our exit from the FirstLine mortgage broker business continues to progress well, with both conversion volumes and spreads well exceeding our targets. Business banking revenue was $384 million, up $6 million or 2% from the same quarter last year due to a combination of higher volumes and fee income, partially offset by the impact of lower interest rates on deposits. Business banking volumes continued to grow with average funds managed up 4% year-over-year. The other segment had revenue of $25 million in the quarter, which is down $17 million compared with the same quarter last year. The 2 main drivers of this variance were lower treasury revenue allocations and lower revenue from our exited FirstLine mortgage business. The provision for credit losses in the quarter was $215 million, down 16% on a year-over-year basis. This reflects the lowest level of loss ratio in almost 6 years. The decrease was largely due to lower write-offs in the card and personal loans portfolios. Each of our consumer lending portfolios in Canada continued to perform well. Laura Dottori will discuss credit quality in her remarks. Our non-interest expenses for the quarter were $1.1 billion, up 3% from the prior year due to higher marketing spend and slightly higher performance-based compensation. We once again achieved positive operating leverage this quarter by continuing to invest in strategic growth initiatives. Net income was $629 million, up $58 million or 10% compared with the prior year. Net interest margin, or NIM, was 266 basis points for the quarter. This was up 3 basis points sequentially and up 8 basis points from the prior year. NIM improvement has been achieved as a result of improved business mix. Turning now to Slide 9. Wealth Management had a very strong quarter with record revenue and net income. Revenue of $472 million, up $52 million or 12% from the same quarter last year, with strong performance from all business lines. Retail brokerage revenue of $272 million was up $16 million or 6% compared with the prior year due to increased assets under administration and higher trading volumes. Asset management revenue of $167 million was up $29 million or 21% from the same quarter last year. This was due to a combination of market appreciation, higher net sales of long-term mutual funds and higher contribution from our investment in American Century Investments. Non-interest expenses of $334 million were up $26 million or 8% from the prior year, mainly as a result of higher performance-based compensation. Net income in Wealth Management was $106 million, up $22 million or 26% from the same quarter last year. Slide 10 reflects the results of Wholesale Banking where we delivered another quarter of strong earnings. Revenue this quarter was $540 million, down $63 million or 10% compared with the prior quarter. Capital markets revenue of $279 million was down $70 million or 20% from the prior quarter, primarily due to a weaker overall market environment. The prior quarter also benefited from a reversal of the credit valuation adjustment against exposures to derivative counterparties. Corporate and investment banking revenue of $249 million was up $6 million or 2% from the third quarter, largely due to higher revenue in U.S. real estate finance, driven by higher CMBS gains in the quarter and higher investment gains, partly offset by lower advisory revenue. The provision for credit losses was a recovery of $1 million for the quarter, mainly due to recoveries in the U.S. real estate finance portfolio. Non-interest expenses were $270 million in the quarter, down $32 million or 11% compared with the prior quarter, primarily due to good expense management and lower performance-based compensation. Net income for Wholesale Banking was $218 million for the quarter, down $5 million or 2% from the prior quarter. CIBC's capital position remains strong with a common equity Tier 1 ratio of 9.4%, up from 9.3% in the prior quarter. Capital generated by net earnings was partly offset by higher RWAs. And looking forward to next quarter, the phasing of the credit valuation adjustment capital charge will reduce our CE Tier 1 ratio by 15 to 20 basis points. Our results this quarter capped a year of consistently good earnings. 2013 was a strong year for CIBC, and we made all of our publicly stated medium-term objectives in the areas of earnings growth, return on common shareholders' equity, total shareholder return and balance sheet strength. CIBC's client-focused strategy generated adjusted earnings growth for the full year of 9%. Expenses continued to be well managed, and we met our productivity target with an efficiency ratio at the industry medium. On the subject of expenses, I would like to note that the new accounting standard on pensions, IAS 19, which will be implemented retrospectively in fiscal 2014, will increase our annual pension expense. The increase in our 23 [ph] annual pension expense is approximately $70 million pretax. So to wrap up, we're very pleased with our performance in 2013 with strong contribution from all of our business lines. In Retail and Business Banking, the shift to a client-centric strategy and investment in strategic initiatives are yielding accelerated revenue, expanding margins and improved client experience. Our Wealth Management franchise delivered strong results in both retail brokerage and asset management. Client assets grew 8% from last year, driven by record net sales of long-term mutual funds; and Wholesale Banking delivered solid results in a year characterized by challenging business conditions. Thanks for your attention. And I would now like to turn the meeting over to Laura Dottori.
Laura Dottori-Attanasio: Thanks, Kevin, and good morning, everyone. So I'll be referring to the risk section, which begins on Slide 14, where you'll see that on a reported basis, loan losses were $271 million, so that's down $49 million. On an adjusted basis, they were up $9 million, and that's due to higher losses in CIBC FirstCaribbean and commercial banking, which was partially offset by lower losses in credit cards and corporate banking. We continue to see weakness in our Caribbean portfolio. The tourist industry in particular is yet to fully recover, and this has had impact on our CIBC FirstCaribbean clients. That said, our Wholesale Banking and Canadian retail portfolios continued to perform well. Slide 15 shows that our gross impaired loan level continued to decline in the fourth quarter, with new additions in business, government and consumer portfolios also trended down. So overall, delinquency trends continue to perform well. Unemployment forecasts look flat to down over the next year, which should be a positive for our retail portfolio. Our corporate and commercial portfolios are subject to more sector and event risk. But here, impaired loans have been decreasing, which is positive, barring, of course, any downside risks to the global economy. Slide 16 shows loan losses in our cards portfolio, and they continued to improve. In the fourth quarter, net credit losses decreased to $127 million, and our cards delinquency rate remained low. Turning to Slide 17. You see that 71% of our Canadian residential mortgage portfolio is insured, with 94% of the insurance being provided by CMHC. I'd like to highlight here that this quarter, we revised our loan-to-value calculation. So loan-to-value is now calculated using a weighted average instead of a simple average. So the quarter-over-quarter change, which went from 54% to 60% for uninsured mortgage portfolio, is simply a reflection of the calculation method change. The risk level in our portfolio has not materially changed. But turning to Slide 18, you can see our Canadian residential mortgage portfolio by region. Our total portfolio is $146 billion, with about 46% of that in Ontario, followed by British Columbia at 20% and Alberta at 16%. The credit quality of this portfolio remains high with a net credit loss rate of about 1 basis point per annum. Slide 19 shows our Canadian residential condo mortgage exposure. Condos account for about 11% of our total mortgage portfolio and about 73% of that is in Ontario and B.C. 74% of our condo subportfolio is insured, and the uninsured portfolio has an average loan-to-value of 60%. This slide also shows our condo developer exposure. And you can see, at October 31, our drawn loans to construction projects were $920 million or about 2% of our business in government portfolio. This is down by $8 million from last quarter, and the exposure is diversified across 79 projects. So turning to market risk on Slide 20 you see the distribution of revenue in our trading portfolios as compared with VaR, or value at risk. We had positive results 97% of the time in the fourth quarter, and that compares to 95% of the time in the third quarter. Our average trading VaR was $4.3 million and that's unchanged from the last quarter. So in closing, I'd like to say that our risk performance this year has been solid, with our credit portfolios continuing to perform well and our market risk levels remaining stable. We continuously monitor our portfolio against expected and adverse environments, and we feel that we're well positioned to support the bank in our client-focused strategy. So I'll now turn things back to Geoff.
Geoffrey Weiss: That concludes our prepared remarks this morning. We'll now move to questions. Operator, can we please have the first question on the phone?
Operator: [Operator Instructions] We have a -- the first question is from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: David, I was hoping that you might give us a little bit more details as to what the exclusivity means with your agreement with the GTAA? Does this mean that you're -- CIBC is going to be the only banner within Pearson?
J. David Williamson: Yes. What it means being selected as the sole financial institution is that we'll be the only Canadian bank represented in the GTAA. It means that we'll be in there and have the opportunity to sell. So what you'll be seeing is a few things. The GTAA, a great partner to date, and a tremendous opportunity as far as volume through the GTAA. So we'll be putting in facilities that will facilitate foreign exchange sales, any normal banking you'd want to do before you travel. And because of the newcomers, it provides us quite a presence. And quite frankly, it gives us a good opportunity on the travel card space, too. So if you're planning to travel over the holiday period, you anticipate seeing a penguin or 2 in the airport. So it really will give us the chance to put in full banking services, and we intend to do so, into the GTAA and benefit from the volumes of folks, newcomers and Canadians that travel through that airport.
John Aiken - Barclays Capital, Research Division: Great, David. And along those lines, can you give us a sense of what the uptake has been on the rebranded Aventura card? And I'm assuming that the $50 million expense target for the implementation is -- still stands.
J. David Williamson: Yes. So let's do the expenses first. So we're exactly on track with the press release that was issued just back in September. So the $50 million still stands. That was $30 million in 2013, which happened, and you see that the $24 million landed in Q4; the rest was in earlier quarters, and that leaves us $24 million -- $20 million that will be in 2014. Obviously, that will be more front end loaded in the year. Regarding how things are going with the launch, I guess, going up a few feet, we said, during the middle of last year, we committed to providing a market-leading travel card, and we did a lot of research as to what Canadians would like with the Aventura card, and it landed well. That seems to be resonating with Canadians. In addition to that, the advertising we've done, first of all, the penguin and now we're introducing its family has been very well received. The sales have been about 4x, actually a bit more than 4x the run rate before launch. And frankly, about 2x what we planned on, about 2x our expectations. The good news, John, is that about fully 50% of the sales of Aventura are going to new cardholders to CIBC, which is a positive sign. And then we've got the renewal of Aeroplan that's coming out shortly, which is kind of exciting as well. So our focus is on choice, and we really feel quite good about that market-leading offer, whether it's Aventura or Aeroplan. Come January, we'll have both in the market.
Gerald T. McCaughey: It's Gerry here. I just wanted to echo what David said to say that we welcome the opportunity to work in partnership with the GTAA. We believe that the GTAA's area of responsibility represents key travel destinations for travelers from around the world. We have discussed with them their strategy to enhance all of the services of the GTAA, and we really believe that this partnership is something that will make the GTAA airports a great experience for travelers that are in the vicinity. So it is a partnership that we are looking forward to.
Operator: The next question is from Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just to clarify on that pension cost, $50 million after tax or so, is there any reason to believe that number might increase in 2014 or will it stay approximately the same?
Kevin A. Glass: Gabriel, it's Kevin. So we wouldn't give forward guidance. But the 2014 expense would really be very affected by a couple of things, asset performance and discount rates, and we don't see big changes as far as that's concerned. So I think that the 2013 number that we've given you is probably a reasonable proxy to use moving forward.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay. And just the -- and the RWA increase, I don't know if I missed that, was there anything related to changes to your model assumptions? And then lastly, on the expense, so I get that when this Aeroplan transition was first announced, that we were treating the $50 million as onetime, but you got an ongoing process here. Is there some sort of additional uptick that we should expect in 2014 that we won't really -- or should be considered core, I guess?
Kevin A. Glass: Okay. Gabriel, a couple of questions there. So let me have -- I'll open on both of them. If there's more details you can -- we can turn to Laura on RWAs and David on the expenses. But as far as RWAs are concerned, we were up about $2.8 billion this quarter. Most of that was actually just business growth. And then we did have some model methodology changes. The most significant was moving to AIRB on our MasterCard -- Citibank MasterCard portfolio, so that would have driven a bit of an increasing RWAs. So that's the RWAs story for this quarter. As far as...
Gabriel Dechaine - Crédit Suisse AG, Research Division: And that's because -- the card goes up because you're reflecting on top balances, is that the idea?
Kevin A. Glass: Yes, that's right. And then as far as expenses are concerned, when we announced the deal, we indicated that there'd be -- a couple of things would happen, there'd be elevated marketing expenses on an ongoing basis. And so you'll see that just in terms of the regular investment in our business. But there are some unusually high expenses, if you will, there for a couple of -- for -- certainly, for this quarter and in the early part of next year. And when we announced the deal, we indicated that we would treat those as an item of note, and that's what we've done this quarter.
Operator: The next question is from Robert Sedran for CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: Just quickly on the securities gains, I guess, for Kevin. The -- we normally assume that some of these gains end up flowing through into the corporate segment or maybe the wholesale segment. Can you just talk a little bit about where they flowed in terms of the segment level performance and whether the retail had it and if there was any impact on the retail?
Kevin A. Glass: Sure. I'll start. There are 2 elements to that. Part of it could be merchant banking top gains and the other would be bond gains, so a lot of the merchant banking gains, some of that stays in corporate, but a fair amount of it flows through to the wholesale banks, so there would've been some element of that in the wholesale bank. In the current quarter versus the prior quarter, our bond gains were down significantly and that would flow through to retail. So if you look at the retail, other segment, there are a few things going on there, but certainly, one of the big drivers on a quarter-over-quarter basis was lower bond gains in the current quarter.
Robert Sedran - CIBC World Markets Inc., Research Division: And if I think about the 10% year-on-year growth rate in that segment, was there any impact from the bond gains on a year-over-year basis?
Kevin A. Glass: So when -- you're talking about retail overall?
Robert Sedran - CIBC World Markets Inc., Research Division: Yes. Well, there -- sorry, with the other segment, of the 10%, I guess, the retail segment was up about 10% year-on-year, if I remember correctly. And I'm just wondering if there was any impact from that issue on a year-over-year basis.
Kevin A. Glass: So let me hand it over to David so -- because it's a good idea to rather decomp that particular segment. So let me get that over to David, and he can talk you through those results.
J. David Williamson: Rob, it's David here. So yes, the treasury did have an impact on the year. If you -- sort of 10% nigh [ph] uplift of -- with treasury and the allocations and the adverse impact, so adjusting the amount, we're about 12% up year-over-year.
Robert Sedran - CIBC World Markets Inc., Research Division: Okay. And since I have you, David, just in terms of the margin, it's been a bit of a challenge lately because -- I guess, largely because of the FirstLine roll-off to understand which way the margin is going. Now that, I guess, we're pretty far into the FirstLine impact, leaving aside the Aerogold impact, which I guess is going to start in fiscal Q1, can you talk a little bit about the outlook for the margin, and is it stabilizing from here? Do you think it can continue to expand, again x Aerogold?
J. David Williamson: Certainly, Rob. So let me break the margin expansion we have -- because as you know, it's 5 quarters now of year-over-year expansion on margin, so let me decomp it. Maybe it's time for a bit of a review of FirstLine. So when we kicked off FirstLine, we said that about 50% of the book would make it to end of term, and that of that 50%, we hope to retain 50%, which gave us a target of a 25% retention. Now we also set a margin -- minimum margins that we'd pursue. So how it's played out is that more people have decided to stay to the full term, that's about 55% rather than 50%. But the big difference has been of the 55% that have stayed to term, we have retained about 90%. Frankly, the last little while, a bit, a titch more than 90%. So that's allowed us to keep about 50% of the book. In addition to that, we're getting branch level margins as opposed to broker margins. So the lift that we're getting from FirstLine and we've been guiding to NIM's being kind of flat and we've been kind of outperforming that. One factor has definitely been that on FirstLine, we're getting better margins by quite a bit, and the retention level's at 50% as opposed to 25%. The -- and we've got a couple of more years of FirstLine. And the way things are playing out, I think we can anticipate that we'll probably maintain the kind of run rate that we've got now, so that will continue to be a help. The other issue is -- or help is on pricing. So we've introduced some advanced analytics over the last year or more, actually a bit more than that, while we're bringing in a better awareness on risk and price sensitivity, attributes for our client base. And we've pushed out into the front line new grids, new pricing grids, and that's worked actually quite well. So what we're also seeing is a lift in spreads on our personal lending book as well. Now that's something that's isolated to what we're doing. There's also competitive pressures that counterbalance that. But I think we'll keep our sort of guidance, if you will, to flat NIMs, but we do have a couple of CIBC-centric events that are helping us in that regard, so those are the 2 large ones.
Operator: The next question is from John Reucassel for BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Just a question for Kevin, just to clarify on the pension expense. That $0.13 last year, would that be evenly spread throughout the year? Is that how -- do you amortize it in every quarter? Is that what you do?
Kevin A. Glass: Yes, that's right, John. It will be an expense. It will be evenly spread throughout the year.
John Reucassel - BMO Capital Markets Canada: Okay. Then just for Laura, just on the LTVs going to the weighted from the simple, so there is a big increase on the LTVs there. What happens -- when you look at your internal debt service ratios, do you look at it on a simple average basis or a weighted average basis, and what is the difference between the 2?
Laura Dottori-Attanasio: So you mean the difference between the average and the weighted average?
John Reucassel - BMO Capital Markets Canada: So I'm just trying to wonder -- do you -- when you think about debt service ratios when you're looking at your mortgage loan portfolio, do you look at that on a simple average basis or do you also use -- or do you use the weighted average or is there a difference?
Laura Dottori-Attanasio: Yes. Sorry. Well, now it's weighted. We were looking at it simple, so everything is now on a weighted basis. I guess it...
John Reucassel - BMO Capital Markets Canada: I get that, but...
Laura Dottori-Attanasio: Yes. So I don't -- does that answer your question?
John Reucassel - BMO Capital Markets Canada: I'm just trying to understand because the LTVs are up, and I assume that, that suggests that the people with bigger houses have bigger mortgages or -- is that how should I look at it, and does it impact your debt service coverage ratios that you would monitor internally with a different -- moving from simple to an average or no?
Laura Dottori-Attanasio: Okay. I'm sorry. Now I understand. So no, that doesn't impact the debt service coverage ratio.
John Reucassel - BMO Capital Markets Canada: Okay, so -- and you have seen no increases in delinquencies in this portfolio.
Laura Dottori-Attanasio: No.
Operator: The next question is from Darko Mihelic from RBC Capital Markets.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: Just a few questions. The first question, maybe just a very simple straightforward one, what exactly are you doing with FirstCarribean and its restructuring and what is the hope -- I mean, you've always talked about trying to bring it back to historical levels of profitability. Can you give us any idea of what exactly you're hoping to accomplish with FirstCaribbean?
Gerald T. McCaughey: That's a lot of questions. FirstCaribbean is the bank -- our bank in the Caribbean, and we've been in the Caribbean for over 90 years. It's very much a part of what we do at CIBC. So when we say we're returning it to its historic level of profitability, if you go back prior to the recession, particularly prior to it hitting the Caribbean, you were seeing regularly $175 million, $200 million of net earnings from FirstCaribbean. So now what are we doing in the restructuring? The restructuring is designed to reduce costs and to put a brake on the growth in costs. So the intention is to reduce the headcount across all of the islands, in the 17 islands we operate, by about 10% and to reduce some other costs alongside that. So we should have a lower rate of growth in our cost going forward. And we do expect some of the islands are starting to improve, for example, Cayman. It still remains tough in a number of islands like Barbados and Bahamas. But we do expect revenues to start to increase over the next 12 to 18 months.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: And just to be clear, does that also mean branch reductions?
Gerald T. McCaughey: Yes, on a minimal scale. What we're going to -- doing is moving out of certain islands, certain -- we're reducing our exposure and our activity level in certain islands where there's limited business opportunities, such as the smaller islands. And generally, we'll increase our activity in the larger, more populous islands.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: Okay, great. And maybe just one last question for Laura. When I look at Slide 19, the condo developers exposure, you mentioned that you had 72 borrowers. Did you mean that the $900 million that's drawn is divided up amongst 72, or do you mean the entire portfolio has 72? And really, what I'm -- I guess what I'm getting at is it's expected that condo construction is really going to ramp up here in the next couple of years. We've seen very minimal growth in this portfolio to $3 billion, from, I think, $2.8 billion at the beginning of the year. Is there an expectation that the drawn portion will increase and/or the entire portfolio on a go-forward basis? Or are the number of names, in other words, 72 different borrowers, is that name -- those number of borrowers, is that down from previous quarters and do you expect that to go up? I know there's a lot of questions in there, but I'm just looking for a lot more color on the condo developer exposure.
Laura Dottori-Attanasio: Yes. So the number is actually 79, and it's been pretty much the same, so there hasn't been a whole lot of movement there. And so that amount that we gave was across those projects. So again, we're comfortable with it. I don't know that I'd expect us to have a whole lot of increase in that particular segment. I mean, again, I can give you some comfort. We really focus on top tier condo builders in that space and we look at very high level of pre-sales as well. We insist that we have acceptable deposit levels and what-not. We don't take on a whole lot of market risk in these as well, as I said, because we require pre-sales. Very rare if we do that. And if we do, it's really just with the top tier sponsors. So I wouldn't expect to see that number move a whole lot.
Darko Mihelic - RBC Capital Markets, LLC, Research Division: You don't expect the total exposure or the drawn exposure to really change in the next say, 2 years? Is that a fair statement?
Laura Dottori-Attanasio: Well, there will be some movements. But again, when we look at our portfolio today, we wouldn't expect material movement in it, in this segment.
Operator: There are no further questions registered at this time. I would like to turn back the meeting over to Mr. Weiss.